Operator: Good afternoon, ladies and gentlemen, and welcome to Zumiez, Inc.'s Second Quarter Fiscal 2021 earnings conference call. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. Before we begin, I would like to remind everyone of the Company's safe harbor language. Today's conference call includes comments concerning Zumiez, Inc., business outlook, and contains forward-looking statements.  These forward-looking statements and all other statements that may be made on this call that are not based on historical facts are subject to risks and uncertainties. Actual results may differ materially. Additional information concerning a number of factors that could cause actual results to differ materially from the information that will be discussed is available in Zumiez filings with the SEC. At this time, I would like to turn the call over to Mr. Rick Brooks, Chief Executive Officer. Mr. Brooks, you may begin.
Richard Brooks: Hello, and thank you, everyone, for joining us on the call. With me today is Chris Work, our Chief Financial Officer. I'll begin today's call with a few remarks about the second quarter then I'll share some thoughts on sales for the third quarter to date before handing the call over to Chris, who will take you through our financial results in more detail. After that, we'll open up the call to your questions. Our second-quarter results reflect the strength of our business model, as we posted solid top-line growth and better-than-expected profitability in the face of tougher comparisons.  Reflecting back upon the second quarter of 2020, our stores opened for roughly 73% of potential operating days as a result of the pandemic. Despite those closures, our total sales in Q2 of 2020 increased 10% over 2019 due to our ability to capitalize on strong sales trends and pent-up demand for more significant closures in the first quarter of 2020. Therefore, we were pleased that our second quarter of 2021 total sales grew 7% year-over-year and increased 18% on a two-year basis, all while driving strong full-price selling.  On the expense side, spending returned to more normalized levels following last year's temporary cost savings actions and government subsidies, resulting in diluted earnings per share of $0.94, just $0.07 shy of last year's record, $1.01 and up over 160% from the second quarter of 2019. Our teams once again did a terrific job adapting to the current environment to fulfill the demand for our distinct merchandise offering. This year's results reflect the shift back to a more historical mix between our store and digital channels as our customers increasingly turn to physical shopping.  This is a very positive development given their enriched brand experience that can be achieved through human-to-human connections. Looking ahead, we feel good about our ability to continue to exceed 2020 sales levels over the second half of the year. Even as we face tougher comparisons and more competition for discretionary spending. With a majority of school districts around the country resuming in-person learning, we've seen a more normalized start to the back-to-school season, which will provide the business with good momentum to begin the third quarter. Q3 to date through Labor Day, total sales were up 23% year-over-year and up 7% compared with the same period of 2019.  These results are despite continued challenges related to the pandemic across the business. The recent uptick in COVID cases caused by the Delta variant has created some additional uncertainties about operating conditions and consumer behaviors in the near term. We are confident in the agility that our teams have shown throughout the pandemic, and the financial strength of our business to weather any potential risks that lie ahead. The agility is based on our strong culture, brand, and best-in-class sales teams to help us drive incremental market share gains across the business.  The key to our success has been and will continue to be, our 1-channel mentality and our proven ability to adapt to changing consumer needs. This includes ideas like our in-store fulfillment capabilities, including Zumiez Delivery, which takes our best-in-class sales teams directly to our customers' doors. Well, elements of our model have and will continue to evolve in the years ahead. Our overarching consumer-centric strategy rooted in a strong brand and culture will remain constant. We built a business in which we partnered with great brands to bring diversity and uniqueness to our customers that allow them to individuate. We built a footprint that informs us of global trends and works with brands to emerge locally and grow globally to better serve our customers.  We built an infrastructure in which a customer can shop with us to get what they want, when they want, how they want, and as fast as they want. We've morphed our business into a channel-less organization, with inventory visibility from all touchpoints and back-end capabilities allow us to effectively leverage expenses regardless of the channel in which sales originate. The work together has been significant in the path ahead will require further focused, moving faster to serve the customer.  Therefore, we remain steadfast in our commitment to investing in our future. We continue to believe that such -- that time such as these create great opportunities. With the right people, strategies, and resources in place, we are well-positioned to emerge from this crisis, a stronger brand than ever before. And the clear winner in the ongoing consolidation of retail. That I'll turn the call to Chris to discuss the financials. Chris.
Christopher Work: Thanks, Rick. Good afternoon, everyone. Given that our stores were closed for approximately 27% of the quarter last year due to the pandemic, I'll provide comparisons to both the prior year and the second quarter of fiscal 2019 where appropriate. Following my review of our second-quarter results, I'll provide an update on third quarter-to-date sales trends and our current perspective on the full year. Second-quarter net sales were $268.7 million, up 7.3% from $250.4 million in the second quarter of 2020, and up 17.6% from $228.4 million in the second quarter of 2019. The year-over-year increase in sales was primarily driven by the reopening of stores, our ability to capitalize on current trends, and the continued impact of domestic economic stimulus on the business during the second quarter.  Compared with the second quarter of 2019, we saw comparable sales growth is 16.6% and the net addition of 15 stores. Our stores were open for approximately 96% of the potential operating days during the second quarter of 2021 compared to 73% in the second quarter of 2020 and 100% in the second quarter of 2019. From a regional perspective, North America's net sales were $237.5 million, an increase of 6.3% over 2020, and up 14.8% compared to the same period in 2019. Other international net sales, which consists of Europe and Australia, were $31.1 million up 15.7 from last year, and up 45.1% from 2 years ago.  Excluding the impact of foreign currency translation, North America net sales increased 5.8% and other international net sales increased 7.6% compared with 2020. We experienced significant COVID-related store closures during the second quarter in Canada, Australia, and Europe, noting they were open for approximately 68%, 77%, and 88% of the available operating days respectively. During the quarter, the men's category was our largest growth category, followed by accessories and footwear. Hardgoods was the largest negative category followed by women.  The second-quarter gross profit was $105 million compared to $90.9 million in the second quarter of last year, and $77.2 million in the second quarter of 2019. Gross margin as a percentage of sales was 39.1% for the quarter compared to 36.3 in the second quarter of 2020 and 33.8 in the second quarter of 2019. The 280-basis point improvement from the second quarter of 2020 was largely due to a 170-basis point decrease in web shipping costs related to a decrease in web sales from the second quarter last year when we add a higher rate of store closures driving customers online.  A 100-basis point increase in product margin, and a 70-basis point improvement in inventory shrinkage, partially offset by a 60-basis point increase in distribution and inbound shipping costs. Gross margin improved 530 basis points from 2019, driven largely by product margin improvement of 270 basis points, occupancy leverage of 170 basis points, and a shrink improvement of 90 basis points. SG&A expense was $73 million or 27.2% of net sales in the second quarter compared to $57.7 million or 23.1% of net sales a year ago, and $65.5 million or 28.7% of net sales two years ago. Compared to 2020, the 410-basis point increase in SG&A expense as a percent of sales primarily reflects the benefit from temporary cost savings tied to the pandemic last year.  The most significant changes include 150 basis points of deleveraging in our store wages, 60 basis points of deleveraging incorporate costs, 50 basis points of deleveraging in annual incentive compensation, and 40 basis points due to a decrease in governmental subsidies. During the quarter, we also accrued a legal settlement resulting in 110 basis points negative impact. Operating income in the second quarter of 2021 was $32 million, or 11.9% of net sales, compared with $33.1 million, or 13.2% of net sales, last year. In the second quarter of 2019, we had an operating profit of $11.7 million or 5.1% of net sales.  Net income for the second quarter was $24 million or $0.94 per diluted share. This compares to a net income of $25.4 million or $1.01 per diluted share for the second quarter of 2020. a net income of $9 million, or $0.36 per diluted share, for the second quarter of 2019. Our effective tax rate for the second quarter of 2021 was 26.8%, compared with 26% a year ago period and 30.7% 2 years ago. Turning to the balance sheet, the business ended the quarter in a very strong financial position. Cash and current marketable securities increased 37.7% to $412 million as of July 31st, 2021, compared to $299.1 million as of August first, 2020. The increase in cash and current marketable securities was driven by cash generated through operations, partially offset by capital expenditure.  The Company's -- the Company repurchased 200,000 shares during the quarter at an average cost of 44.21 per share and a total cost of $10.9 million. Year-to-date, as of September 7, 2021, the Company has repurchased 700,000 shares at an average cost of $42.49 and a total cost of $31.4 million. As of July 31, 2021, we have no debt on the balance sheet and continue to maintain our full unused credit line of $35 million. We ended the quarter with $149.4 million in inventory, up 17.9% from the second quarter of 2020 and down 1.1% compared to the second quarter of 2019.  On a constant-currency basis, our inventory levels were up 17.3% from last year. Overall, the inventory on hand is healthy and selling at a favorable margin. Now to our third quarter to date results. Net sales for the 37-day period ended September 6th, 2021, increased 23.2% compared to the 37-day period ended September 7th, 2020. As we saw our customers go back to in-person learning and the majority of the regions in which we operate. Compared to the 37-day period on September 9, 2019, total net sales increased 6.7%. Our stores were opened 98% of the available days during the period in 2021 compared to 91% in the same period last year. Total comparable sales for the 37-day period into September six, 2021 increased 10.5% on a one-year basis and increased 5.4% compared with two years ago. From a regional perspective, net sales for our North American business for the 37-day period ended September 6, 2021, increased 25.5% over the comparable period last year and were up 5.1% compared to the 37-day period ended September 9, 2019.  Meanwhile, other international businesses increased 2.3% versus last year and increased 28.8% compared with the same period of 2019. From a category perspective, Men's was our most positive category, followed by accessories, footwear, and women's. Hardgoods was our only negative category. Due to limited visibility in the business, we'll not be providing specific guidance for the third quarter of 2021 or the fiscal year, but do want to provide a directional update on our expectations for the year.  Concerning revenue, for the full fiscal 2021, we are projecting net sales to grow in the low to mid-teens from fiscal 2019. This translates to net sales growth from 2020 between the high teens to just over 20%. For the back half of the year, we continue to anticipate top-line growth on 2020 results that were above 2019 results. For the third and fourth quarters of fiscal 2021, we anticipate we'll grow sales in the mid to high-single-digits from fiscal 2020, absent significant COVID restrictions and lockdowns. For the third quarter, specifically, this is a slowdown from what we have just reported quarter-to-date.  However, we believe it is warranted, as we had a slow start to a back-to-school season in 2020 and saw continued strength through late September and October last year. This year, we've seen a more normalized cadence to back-to-school and do not anticipate that September and October will be as strong as they were in 2020. Moving on to gross margin, 2021, gross margin is currently planned to grow year-over-year, driven by leverage of occupancy costs on increased sales, a reduction in shipping costs as web revenue normalizes with storage being opened, and improved product margins. While we anticipate improvements in gross margin in our third and fourth quarter, the year-over-year growth will be much more modest than our first 2 quarters. Fiscal 2021 SG&A costs are expected to increase in line with our sales growth from 2020 for several reasons, many related to the pandemic.  The drivers of the increase include store wages and benefits reductions in 2020 due to store closures and reduced mall hours that are not anticipated to repeat in 2021, governmental subsidies received in 2020 not anticipated to repeat in fiscal 2021, an increase in incentive compensation and other discretionary accruals related to improved performance, illegal settlement accrued during the second quarter, an increase in costs related to training and recognition events that were reduced significantly in 2020 due to pandemic, an increase in marketing events and another related spending that was not possible with the restrictions in 2020, and an increase in travel costs in the back half of 2021 with very little travel included in our fiscal 2020 results. In summary, we expect to see the expansion of gross margin while SG&A expenses grow much closer with overall sales.  On a net basis, however, we now anticipate operating margins will be up year-over-year in fiscal 2021, reaching double-digits as a percent of sales. We are currently planning our business assuming an annual effective tax rate of approximately 26% in fiscal 2021, compared to 25.6% in 2020. We are planning diluted earnings per share to increase meaningfully in fiscal 2021 compared with fiscal 2020, primarily driven by a significant increase we achieved in the First Quarter.  As we saw in the second quarter, more expenses are coming back into the model as COVID restrictions are reduced, such as store payroll-related to capacity and hours, travel training, and other costs discussed above. We are currently earning diluted EPS in the back half of the year to be flat to down modestly from the last six months of 2020. In the event our top-line estimates exceed those outlined today, we would expect a strong flow-through on incremental sales. We are planning to open 25 new stores in fiscal 2021, including approximately 8 stores in North America, 12 stores in Europe, and 5 stores in Australia. We are planning to close approximately 5 to 6 stores during the year.  Capital expenditures are planned to be between $22 million and $24 million in fiscal 2021, compared with $9.1 million in fiscal 2020. The majority of the capital spending will be dedicated to new store openings and planned remodels. We expect that depreciation and amortization excluding non-cash lease expense will be approximately $22 million in fiscal 2021 compared to $23.5 million in fiscal 2020. We are currently projecting our diluted share count for the full year to be approximately 25.3 million shares. Any share repurchases made after those disclosed today will reduce our share count from this estimate. And with that, Operator, we'd like to open the call up for questions.
Operator: Thank you. [Operator Instructions] Please stand by while we compile the Q&A roster. Our first question comes from the line of Janine Stitcher with Jefferies. Your line is open.
Janine Stitcher: Hi, good afternoon. Thanks for taking my question. You acknowledged this -- the challenging supply chain environment. I was just hoping you could elaborate more on what you're seeing, maybe break it up between your private brands and then what you're seeing from some of the third-party brands that you work with.  Just speak to any areas where you feel like there are challenges in getting the product in and help us understand what you're currently seeing in the business. Thank you.
Christopher Work:
m: It's required us to work extremely close with our brands and our logistics vendors to navigate the different challenges that are out there, including how we think about raw material and commodity pricing, factory capacity, transportation capacity, transportation costs, labor shortages, country-by-country challenges, how this affects our timelines and receiving, and then obviously, the general inflation challenges that are tied to this.  So, I think from an overall perspective, we feel like our teams have navigated this really well. Clearly, it has resulted in some delays in the product, but I think because we've been dealing with this for the amount of time we have, we've been planning to do it, and as we just talked about, we're really happy with the inventory levels.  I mean, a year ago, our inventory was much lower than we wanted it to be as Q2 of 2020 was very strong in demand, and we're really happy we built those inventories back up. We think they are in a good spot, so yeah, it has impacted what we wanted to receive, but our teams have done a good job working around that with our vendors.  And I think that's how we plan to address this moving forward. I think we continue to work with our brands on how we get through these challenges and really try to provide the best customer experience at the end of the day.  I think as we look at the supply chain moving forward, we continue to expect there are going to be issued through the back half of this year. I think moving out of back-to-school we expect there to continue to be some challenges on the inbound side.  Like I've laid out here. And I think we'll also start to see some of the challenges we saw in Q4 last year on the business-to-consumer side and getting products to our customers. But all that said, I think we've got really good strategies to mitigate that.  Rick talked about our ability to deliver and we're working already with our shipping carriers on how to navigate that and I think we've got a pretty good plan in place. So, we're not forecasting a material impact on the business at this point in the result -- in the estimates that we laid out for the year for you guys, but I think we'll -- we're able to manage through it to date.  We'll keep tack on as we go. And the last thing I'd just add to this, as we think about supply chain, it wasn't too long ago we were talking about where our entire product was coming from. And I think we've done a really good job.  I'm really proud of the teams on how we've diversified. We have a much more diversified country of origin layout today within our business than we had two or three years ago. So, I think that's a really good thing. And that helps with how we think about your question of branded versus private label, right? We have, obviously, more say in how we run our private label goods.  We've tried to really diversify in that category and work with our brands, and our brands are very smart, and they've built their own logistics, too, to try to diversify their offerings. So, it's a challenge. It's a challenge. I think we've got good strategies around and we'll see how it plays out as we move through the year.
Janine Stitcher: Great. And then maybe just on the hard goods side of the business, just speak to what you're seeing there, just your views on what ending of the cycle we're in, I'm guessing that the negative trend is more just a function of comparisons from what you felt last year during the surge of COVID, but just any thoughts on where we are and maybe what you thought to fulfill on that. Thank you.
Richard Brooks: Sure, Janine. I think as we look at it here relative to skate hard goods cycle, what we're really -- we're seeing -- I think skate hard goods is a good example where because of the nature of the pandemic and the shutdowns and the closure of stores, and remote schooling and everyone being home, and in the lockdowns, skate, I think is one of those categories much like camping, that everything got -- a lot of volumes got pulled forward.  And so, I think that's partly what we're seeing, and if it is, a tough comparison's coming across in skate hard goods, so having so much of that volume port - forward because of the pandemic. We'll have to see how this plays out next year.  But again, I think the great thing I always like to remind everyone is that our business responded really well, and that despite the down-trended skate hard goods, which I think we could all expect at some point because it has been 3 years -- 3 plus years on this cycle, that our business responded well and we're running -- still running gains by just selling more apparel in this case.  So, the predominant driver of our business, so it's been really good to see how the business responded. We are maintaining our wallet share of our customer's business. So, I think that's where our head is, Janine, as we're thinking we just saw this big pull-forward we'll see how this response next year to where we're at, but skate is when those great categories of business from an inventory perspective that I think we can manage relatively quickly in terms of our inventory position. So, I feel good about where we are on that side too.
Janine Stitcher: Great. Thanks very much.
Operator: Thank you. Our next question comes from the line of Jeff Van Sinderen with B. Riley. Your line is open.
Richard Magnusen: Yes, hello, this is Richard Magnusen in for Jeff Van Sinderen. I thank you for taking our question. We know that the business is omnichannel, but what more can you tell us about the recent trends and in-store traffic, e-commerce, and delivery? And then are you seeing any significant changes in consumer behavior that could last longer as this COVID impacted environment plays out?
Richard Brooks: All right. Richard, let me start then I'll ask Chris to share some data with you, but again, just remind you our job is really about -- is about empowering our customers with choice on how they want to shop with us. And they get to choose their own journey in the Zumiez world. So, our one channel business model is really designed to meet our customer's needs locally. And then leverage the cost structure no matter where the sales are digital or physical. But that said, I am happy to tell you how thrilled I am. As I said in the script that our customers have chosen to return to our stores in a very, very strong way for their shopping. And I say that because I really believe we can get a richer brand experience when that's the case.  All the Gen Z research work you see actually shows they preferred to shop in stores. So, we get them in our stores, in that we get that human-to-human connection, and the deeper -- a deep brand experience I think makes shopping at Zumiez a really powerful experience when they -- when our customers get to connect with our employees. So, with that, I'll let Chris share some data.
Christopher Work: Yeah. Richard, I think this is something obviously we put a lot of thought into heading into the year. Just given the increase in online demand in 2020 when we had our stores close, and we kind of looked at it and said, you know, in 2020, we saw our web penetration for the year-ago from about 16% to 26%.  And we kind of said, okay, we think it's going to be somewhere in between there. And to Rick's point, we're just ecstatic that we're just so much closer to 2019 levels, and as it relates to even the second quarter here, we were about 15% digitally originated and compared to the 27% last year.  And so, I think you see some things in the model that are really favorable here. One of the things I talked about in gross margin was that we had leveraged web shipping by 170 basis points. What's interesting is if you go back to the last Q2, you'd see what's almost completely offsetting last year.  So, I think it's a richer experience for our customers. It's financially a good experience for us as our customers, really, there in-store and gets the immediate fee of the product. So really excited to see those levels go back to 2019 and obviously we'll see how that plays out here in the back half of the year.
Richard Brooks: And lastly, Richard, just to -- just so we're -- I'm clear in the response on this is, this isn't just a U.S. issue. We've seen this across the broad swath of our businesses, including Europe, where we've seen a return more -- our mix returning more to our 2019 levels across our businesses.  So it is, as your question intimated a global trend relative to how we're seeing and what we're seeing in our consumer's behavior. And again, I think it's probably unique relatively to our brand experience and the nature of our consumer base.
Richard Magnusen: Okay. And then this is some -- regarding the supply chain situation. Again, are you seeing anything in terms of an effective alternative such as ships being routed to other ports? And then has the supply situation been causing you to pull hard on some sales? You referenced that a little bit, I thought maybe there's more detail there.
Christopher Work: Yeah, I think from a supply chain perspective, we've tried to be as creative as possible to navigate lots of the different issues. There are situations where we have pulled dry forward, where we've tried to get it sooner to navigate this, and it really becomes a vendor-by-vendor discussion, depending on kind of the demand we have for the product, and what our expectations of selling patterns are going forward.  So, I don't have a specific call out for you other than I think the teams have really tried to navigate this in lots of different ways from moving forward to potentially airfreighting things. All depending on the need for the product.
Richard Magnusen: All right. Thank you. I'll get back in the queue.
Operator: Thank you. Our next question comes from the line of Jonathan Komp with Baird, your line is open.
Jonathan Komp: Hi. Thank you. Maybe first just a follow-up on the question of the hard good. If I look at the last 3 or 4 years and then 2020, I believe hard goods accounted for more than all of the growth for the Company over that period.  I wanted to just follow up and ask, do you think there is a risk that you go all the way back for hard goods? I don't know if you have a view there and related to that, are you seeing trends in other categories that you think could offset it if you do?
Christopher Work: I'll go ahead and take a crack and will let Rick add anything if you'd like. From an overall perspective, I guess, John, this really falls back to our model of hard goods has been a huge growth driver. We've been super happy to have it. It's been a core part of our offering.  And like all of the trends we see over long periods of time, categories have been flowing. And so, to the second part of your question, I was like, how far do we think it's going to go? I'm not really sure. I think that the best part of what we've got going is that we do have things offsetting it, and we are running overall gains.  So yeah, we've seen hard goods decrease a little bit. We mentioned that Men has been our strongest category, we continue to have really strong results there, we've seen increases in footwear, and now we're seeing increases in accessories.  So, I think all of those are really good signs as we flip to the back-to-school, we see growth across all three of those areas I just mentioned as well as our women's business. So, for me, the hard goods results are still pretty phenomenal over a multi-year of the stack.  And now that we've seen a little bit of a pullback here in Q2 and into Q3, we're running big gains in the other areas. And that's great because that's the model and that's the diversification we hope to offer with what we're doing so that as things trend up or trend down, we have other things to offset them.
Jonathan Komp: Yeah, that's really helpful. And then just as a follow-up, this may be theoretical, as you mentioned, predicting where the categories will trend towards, but could you just maybe comment on the relative product margin across your major categories, and if you do see hard goods fall back in favor of other categories, what that might mean for product margin?
Christopher Work: Yeah, sure. And I'm happy to speak to that, and I think from a product margin perspective, we just could not be happier with a kind of where we stand. I think this is now year 6 of us running product margin gains.  And if you look at the offering that we have, the apparel categories and accessories are typically our highest product margin and the snow or the hard goods business and the footwear are lower margins for us. Now, the beauty of this is as we look at the last 6 years, we've been able to grow margin both within departments as well as across the Company with these changes happening, right?  So hard goods have grown in nature over the last few years. We've continued to grow our product margin. Another interesting piece to this is we've seen our private label penetration over the last five years decline as we've been in such a strong branded cycle, we continue to grow product margin.  I'm really proud of our U.S. teams as well as our international teams because we've seen product margin growth internationally as well as those businesses that scaled. So, I think we have a lot of different mix things, maybe almost similar to my sales commentary, it's about how we drive the whole pool.  There are challenges from time to time as we transition to, say, hard goods or footwear, which are typically not as high from a product margin perspective. But when our teams are really doing everything, they can, which is our focus at all times, we can drive product margin both categories across countries and still see overall results even if the mix is trending the wrong way.
Jonathan Komp: Okay. Great. And just last one for me. As we think beyond 2021, any framework to think about the puts and takes for operating margin and your ability to hold on to a double-digit margin. Thank you.
Christopher Work: Yeah. Thanks, John. And I'll have to be very high level here because we are -- we're not going to talk too much about 2022, but we script this even in our Q1 call that anniversarying what we saw in the first quarter of 2021 will be challenging as we move to 2022. Fortunately, we do view ourselves and continue to view ourselves as a growth retailer. And we have a lot of things. We're trying to do to offset some of the stimulus-related benefits we saw in the first quarter. I'm not going to talk specifically, other than we are expecting a step backward in the first quarter of 2022. But we're working hard to build a model and a plan for 2022 that would try to offset that to the greatest extent possible.  Now, over the long term, getting to double-digit operating profit is where I think the business has been driving. If we go back and rewound to these same calls 4 or 5 years ago, we were in the mid-single-digits talking about getting to the high single-digits.  And I'm really proud of what the teams have done. I think we've driven a lot of value for our shareholders and we've really built a strong model that can drive now into double-digits. And so, I think we're on track for that here in 2021, and I think we can build models that continue that focus into 2022 and beyond.
Jonathan Komp: Okay. Thanks again.
Operator: Thank you. Our next question comes from the line of Mitch Kummetz with Pivotal Research. Your line is open.
Mitch Kummetz: Yeah. Thanks for taking my questions. Let me ask the question of the hard-good a little bit differently. If I look at your sales growth through the first half and even in Q -- you’re early Q3, if I look at on a two-year basis, we've seen the sequential deceleration of the growth. Is it fair to say that all of that is due to the softening of the hard goods category?
Christopher Work: I mean, I am not sure I fully understand your question, Mitch. Are you --
Mitch Kummetz: Well, so Q1 sales were up 31% over 2 years ago, Q2 was up 18, I think Q3, you said you're trending something in the high single-digits. So, there's been this deceleration of the gross rate on a two-year basis. I'd be curious to know what those numbers were if you stripped out hard goods. I'm guessing you won't tell me that, but I don't know if you can qualitatively say that most of that deceleration has been due to a softening of hard goods -- skate hard goods?
Christopher Work: Yeah, I think it's probably more complicated than that, too, because you have to look at where we were the years before, and I think this is something like -- let's just take Q3 as an example, where we've now run-up for the actin 2020, this would be our fifth year of pretty major growth on back-to-school.  I mean, if I go back to August of 2017, we were up 7.4%, August 2018, we're up 9.5%, August 2019, and we’re at 7.1%. So, it's pretty significant multi-year stacks, and I think you have to balance that across where you are in the year. And as you know, I mean, you've been following this for a long time.  Our peaks have been our biggest growth cycles really since 2016 and so we haven't had all those same peaks in the first couple quarters, and what we've seen now in the last couple of years is -- or at least in 2021, is pretty outsized growth in the first and second quarter.  I think we have to see how that plays out. For me, Mitch, it's -- again, it's kind of how we drive that total growth. And yeah, hard goods are declining, but it's still -- on a multiyear perspective, I think we can --
Mitch Kummetz: No, I understand. I mean, probably -- part of why I asked the question is just to get a sense as to how the rest of the business is doing over the course of the last 2.5 quarters, if it's been holding pretty steady or if it's also been declining based on that trend.  But we can maybe take that offline. Snow, if I recall correctly, was challenging in Europe last year due to some resort closures, COVID, a bunch of stuff. If we have a more normal snow season in Europe this year, I mean, Rick, you've been doing this longer than I have. Do you anticipate some pent-up demand there for both snows hard and soft goods?
Richard Brooks: I think, Mitch, that our -- I think the answer to your question is yes, we do if we have a more normal snow season in Europe. Now, the flip side of that is we had an outstanding snow season here in the U.S. So, I think there's always that balancing of the aspects of the two businesses of the two geographies.  So, I think there will be some -- it depends upon -- these overall results depend upon how -- what kind of snow season we have here in the U.S. too. But for Europe, yes, I think that would -- I was thinking is it can't be much worse than it was a year ago.  Not only to be clear, not only was there, not a lot of snow, people couldn't get there, but our stores are closed. Right. At the same time, including some stores that are really catered to that like an Innsbruck and Schwab being that really cater that still customer. So, you couldn't get much worse mid so I do think a decent snow year is going to be good. You better be beneficial for us in Europe.
Mitch Kummetz: Okay. And then lastly, just on the gross margins. Again, if I look at your gross margins versus 2 years ago, you're running up over 500 basis points for both Q1 and Q2. It sounds like -- and I guess that a lot of that has to do with full-price selling, given all the liens channel inventory, it doesn't sound like you expect the same sort of 2-year margin expansion in the back half. And I'm curious, is that because you're not expecting the full-price selling to continue to be as strong, or are there some other dynamics that you're factoring into your outlook?
Christopher Work: Yeah. We talked about Q2 specifically, but the same play out in Q1. We had 530 basis points of increase in gross margin in the second quarter. If I break that down, 270 basis points are product margin itself. We had occupancy leverage of 170 basis points, and then an improvement in shrink.  As we move to the back half of the year, I think that the reason why we're not forecasting the same level of growth is really a factor in a couple of areas. One, that product margin growth that we're talking about that we've seen in Q1 and now into Q2 actually really started in the back half of last year, and maybe even Q2 of last year. So, we saw a really strong product margin growth in Q3 and 4 last year. So, we're not forecasting that to be significant, and we've also run extremely strong shrink numbers throughout the pandemic and what we're really excited about is now in our first quarter really being primarily open.  So, we've run good shrink numbers here through the second quarter, and so we don't have the benefit in Q3 and Q4 on the shrink side, either. That's probably why you're seeing a little bit less aggressive in the back half of the year on gross margin, but again, on a multiyear basis, really excited about the results.
Mitch Kummetz: Thanks, guys. Good luck.
Richard Brooks: Thanks, Mitch.
Operator: Thank you. [Operator Instructions]. I'm showing no further questions in the queue. I would now like to turn the call back over to Mr. Rick Brooks for closing remarks.
Richard Brooks: Right. Thank you. And again, thank you all for joining us on the call today. We're always happy to engage with you, so really appreciate it, and we'll look forward to talking to you in December for our Q3 results. Thank you, everybody.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation, you may now disconnect.